Operator: Good afternoon, and welcome to the Universal Technical Institute Fiscal Year 2014 Q3 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. At this time, I will turn the conference over to Mr. John Jenson, Vice President and Corporate Controller of Universal Technical Institute. Please go ahead.
John Jenson: Hello, and thanks for joining us. With me today are Kim McWaters, our Chairman and CEO; and Eugene Putnam, our President and CFO. During today's call, we'll review the results of our third quarter and take your questions. Before we begin, we must remind everyone that except for historical information, today's call may contain forward-looking statements as defined by Section 21E of the Securities Exchange Act of 1934 and Section 27A of the amended Securities Act of 1933. I'll refer you to today's news release for UTI's comments on that topic. The Safe Harbor statement in the release also applies to everything discussed during this conference call, including initial comments by management as well as answers to your questions. During today's call, we'll make reference to EBITDA. It's a non-GAAP measure representing net income exclusive of interest, income taxes, depreciation and amortization. The schedule provided in the earnings release reconciles EBITDA to the nearest corresponding GAAP measure, net income. And now I'd like to turn the call over to Kim McWaters, our Chairman and Chief Executive Officer. Kim?
Kimberly J. McWaters: Thanks, John. Hello, everyone, and thanks for joining us on the call today. Before we get into the specific results of the quarter, I want to take a moment to talk about the bigger picture, the current environment, its impact on UTI and how we're thinking about the business both in the short and long term. Our company has been in business for nearly 50 years, and for many decades, we have been and still are the nation's leading provider of entry-level technician training for the transportation industry. We have built a reputable brand, one that stands for quality and student success. The world's leading manufacturers have chosen to partner with us to develop and deliver an educational model and experience that best prepares our students for gainful employment in their field of study. Our graduation, employment and cohort default rates clearly demonstrate the quality of education that UTI provides, as well as the career opportunities afforded our graduates. Yet our industry has been facing economic headwinds and regulatory pressures that continue to intensify. Negative headlines with threats of investigations, sanctions, poor sales and closures loom large. This has affected the entire sector, but some institutions to a much greater degree than others. And while sector pressures have certainly affected us, I believe we do have what it takes to ride out the storm and be in a solid position when it subsides. We have a sound balance sheet with no debt. We have a proven management team that embraces a culture of excellence and regulatory compliance. And perhaps most importantly, there is real demand for what we do. In fact, the demand for our graduates have skyrocketed this past year with OEMs and other employers asking us to significantly increase the number of technicians graduating from their programs. The truth is with their new projections, there will be more job opportunities than graduates to fill them. And while history is not a perfect indicator of success, it is one of the best indicators we have. Over the past 50 years, we have been through tough economic cycles and periods of intense regulatory change. And together, we have always figured out ways to survive the storm and thrive in its aftermath. Storm survival strategies require that you focus on what you can control. We know that we have little to no control over the regulatory environment and economic cycles, but we do believe there are some issues of consequence that we do have some ability to affect. We know that potential students are more difficult to reach through traditional marketing and admissions channels today. Because of new rules and regulations at state and federal levels, it has become more difficult to translate the real benefits afforded by a UTI education into something prospective students can and will act upon. As the labor markets improve, our prospective students are seeking employment over education. Most of our prospective students who have put off education are simply unwilling to give up a no- or low-skilled job today to pursue an education. We are working diligently to solve these issues with different marketing and admission strategies to effectively engage with potential students. One substantial benefit of the increased demand for our graduates from our industry partners may be the biggest key. Our industry partners and employers are mobilizing to support our strategy moving forward. Increasingly, they're stepping up to provide scholarship money, tuition reimbursement plans and attractive compensation and benefit packages to our graduates, including signing bonuses, relocation grants and toolboxes. The supply and demand dynamics are certainly shifting in favor of our students, and this unmet demand may be exactly what is necessary to help solve the issues I mentioned previously, as well as help solve some of the affordability issues our students face. We are diligently working on improving the fundamentals of our business in a very challenging environment. We must continue to rise above all the noise in this sector and differentiate ourselves from other educational choices, as we have done for the past 50 years. I believe that we have a sound strategy to do so, especially with the help of our manufacturer partners and employers. Meanwhile, the quarter was challenging as expected. We continue to test innovative ways to attract more students to UTI so that we could rebuild our student population and ultimately, the pipeline of trained technicians for employers. We reached out to policymakers and the gatekeepers who give us access to students and help influence their decisions. We continued testing strategies to optimize the front end of our business, and are working to find the right balance between inquiry volume and inquiry quality. We have invested in and implemented tools, training and technology to improve the student experience and to drive effectiveness and efficiencies with our admissions and marketing teams. Some of these initiatives have started to gain traction. Others need more time to take hold. Some simply did not work, but we needed to test them. We believe the investments and changes we're making in light of the regulatory and marketplace challenges will make a difference in the long run. However, we know that change can be disruptive and drive some inconsistencies in the data and trends we typically rely on in business. We're impatient for results just as you are, but we also know that we cannot try everything at once or we will not know which changes are actually working. Therefore, by deliberately testing these ideas and sequence in overtime, we're getting good data and learning which levers to pull so that we can continue to make thoughtful investments in the business. The work is not easy and it takes time. We don't have all the answers yet. But what we do have is an excellent company with the capabilities and capacity to train thousands of technicians each year to meet the growing demands of the transportation industries. We have the growing support of leading OEMs and employers across the country who will help us differentiate ourselves from others in this sector and help our students afford the education they need to become gainfully employed. Now let's talk a little bit about what happened in the quarter and our strategy moving forward. With that, I'll turn it over to Eugene.
Eugene S. Putnam: Thanks, Kim. We began the third quarter with 100 fewer students than last year and ended the quarter with 12,600 students, which was down about 400 from last year. Despite the decline in student starts and continuing pressures on show rate, which was 310 basis points off from last year, revenue of $91.3 million from the third quarter was up slightly over the prior year. Our focus on cost containment yielded a decrease in operating expenses for the quarter, both on a year-over-year basis and on a sequential basis compared to second quarter, both of which were in line with our previous guidance. Average revenue per student was up 3.2% to -- for the quarter to approximately $6,800. Tuition excluded $5.6 million related to our loan program compared to $4.4 million in the third quarter of 2013, reflecting continuing difficulties for students and parents to secure financing for their education. Year-to-date for 9 months, our revenues were approximately $283 million, which was basically flat from the $284.5 million for the same period last year. Our continued efforts to control costs and an increase in tuition rates resulted in an operating income of $1.1 million for the quarter. That's an improvement compared to $0.5 million in the same period last year. Advertising expense came in at $9.1 million for the quarter, which represented approximately 10% of revenue, roughly flat from last year. Managing expenses continues to be a very important focus while we're working to increase our student population. We have and we will continue to manage our variable cost to appropriately align with our student populations. Our bad debt expense as a percentage of revenue was 1% for the quarter, and EBITDA was $6.8 million in the quarter, that's up from $6.4 million last year. Year-to-date EBITDA was roughly $20 million versus just under $23 million for 9 months last year. Net income for the quarter was $400,000 or $0.01 per share compared to $300,000 or $0.01 per share last year. Year-to-date, our net income was $0.5 million or $0.02 per share compared to $2.9 million or $0.12 per share last year. The provision for income taxes for the 3 months ended June 30 was $500,000 or 59% of pretax income compared to $300,000 or 52% last year. Our provision for income taxes year-to-date is 78% of pretax income compared to 43% of pretax income for the first 9 months of 2013. As we've previously discussed, stock-based compensation awards granted upon our initial public offering 10 years ago that expire underwater require a write-off from the related tax assets which adversely impacts the income tax rate. This noncash charge resulted in $100,000 in additional income tax expense in the third quarter and $600,000 year-to-date. In future periods, we will likely experience variability in our income tax expense depending on the price of our stock and the timing of expiration, exercise investing of past stock-based compensation awards. This variability could result in income tax rates that are substantially different from the federal statutory and/or our historical tax rate due to these noncash charges. Our stock price remains relatively consistent with the last quarter's average price. The impact of any adjustments to the deferred tax asset and related income tax expense for the last quarter of the year is expected to be less than $300,000. Looking at our balance sheet. We had cash, cash equivalents and investments of roughly $91 million at the end of the third quarter compared to $97 million at September 30. In the first 9 months of 2014, we generated cash from operations of $9.5 million compared with $5.4 million for the same period last year. And other than financing obligations related to our Lisle facility and our Orlando building that is currently being expanded to house our diesel program, we have no debt on our balance sheet. During the quarter, we invested $2.3 million in fixed assets, which is roughly flat with last year. And finally, we returned $3.5 million to shareholders in the form of dividend payments and share repurchases during the third quarter. We returned a total of $8.8 million to our shareholders this year. And with that, I'll turn it back to Kim for some details on our margin and admissions efforts.
Kimberly J. McWaters: Thanks, Eugene. Let's start with inquiry generation. As we've discussed before, our goal is to grow the business with the optimal balance between inquiry volume and inquiry quality. We're focused on generating inquiries from students with the highest propensity to start school, to graduate and to go to work. That's the right thing to do for our students and it makes our profit use more efficient, as we're not investing downstream in prospective students who fail to show to school. For many quarters, we've done a good job improving inquiry quality. Again, this quarter, high-propensity inquiries were up 8.7% yet not enough to offset the volume decline. We expected inquiries to be down low single digits as we eliminated underperforming inquiry sources but we closed the quarter down 19%. In short, we simply did not generate enough inquiry volume to drive growth in new student applications. We believe the continued difficulty in student demand generation is due to the obvious: cyclical challenges as people opt for no- or low-skilled jobs over education and regulatory changes that had negatively impacted our ability to effectively articulate our value proposition and engage with prospective students. While we know that Google Search trends for the category, Automotive Education, have been trending down 10% year-over-year, we also know that we have not been able to achieve historical conversion metrics since the TCPA language rolled out. In this complex and dynamic environment, we continue to optimize our media mix to efficiently deliver stronger volume without compromising inquiry quality. Advertising expense for the quarter was 10% of revenues, which is about the rate we're forecasting for the full year. Moving to admissions. New student applications were down 27% in the quarter. This decline is largely driven by an increase in registration fees as we went into the quarter. Yes, the decline certainly reflects the decrease in inquiry volume and the broader challenges our industry is facing. And it also reflects a very tough comparison to the year before when applications grew nearly 20% in the third quarter of 2013. But we believe of greater significance is the fact that we doubled our registration fee going into the third quarter. Why, you ask, would we do something like that when it's been so difficult to enroll students? During the past 1.5 years, we have experimented with a number of tactics including changes to our fee structure, and these changes were to increase access to prospective students and to make it easier for students to begin the process of enrolling and coming to school. We also increased the level of support for these students during the enroll-to-show time frame to grow the new number -- the new starts, but it didn't work. What we discovered is we may have made it too easy, as applications grew but student did not show to school at an acceptable rate. You may recall during our previous earnings calls, we stated we were willing to accept lower show rates if we actually saw an improvement in new student starts. Unfortunately, that did not happen. So we raised the registration fee. Since increasing the registration fee, we have seen a significant improvement in show rates for students enrolled at this higher fee and have eliminated downstream costs by eliminating low-propensity students much earlier in the process. So what does this mean going forward? We would expect the applications to be down year-on-year for the next couple of quarters for the reasons I just discussed. We would expect show rate improvement to begin in quarter 1. We do not expect show rate improvement for Q4 due to the large number of high school students already scheduled, many at a lower registration rate. With that said, we expect a solid fourth quarter performance from our high school and military team. We expect the adult segment to be down due to several quarters of being short on inquiries. For that reason, I expect Q4 starts to now be down mid single digits. Ultimately, the end goal is to grow new student starts as cost efficiently as we can, and we're doing everything in our power to make that happen as soon as possible. But it is still likely a few quarters away. At every level of the business, we're focused on helping students break through barriers that are preventing them from showing to school. We now have completed research on student preferences for pricing, course offerings, program structure and length and have balanced their preferences against employers' needs for skill, competencies and certifications. We're in the process of getting state licensure on some of these new programs with the goal of making it easier for students to pay for school, start school and succeed in school. That, in combination with increased financial support from our manufactured partners and employers, should certainly help more students overcome some of the affordability issues they face. Of course, we continue to offer millions of dollars in need- and merit-based scholarships available to deserving students to help these students pursue a UTI education. With that, I'll ask Eugene to take you through the details of our work to make UTI education more affordable, as well as the investments we're making to ensure we continue to provide a quality education that prepares our students for gainful employment.
Eugene S. Putnam: Thanks, Kim. While we are working to attract and start more high-quality students, we also continue to focus on ensuring our products is available where our students are and that they deliver substantial value and prepares our graduates to meet industry's needs. We're very proud that 2 of our campuses, NTI campus in North Carolina and our new Lisle campus, have been awarded the ACCSC's School of Excellence Award for the 2013 to 2014 academic year. We have 2 of only 22 schools in the nation that are receiving this prestigious award this year. As I mentioned, we are continuing our efforts to manage the business efficiently and to reduce costs where appropriate. We are now teaching our new state-of-the-industry blended learning curriculum at Avondale, Dallas and Sacramento, and we have efforts underway to roll it out into Orlando early in the calendar year 2015. Turning to growth. In addition to our strategy of leveraging the power of our industry partners and finding and improving the ways we attract and enroll students, there are 2 additional important components to our strategy. First, adding programs desired both by students and our industry partners at those locations that currently don't have them. This increases revenue while not increasing the sales and marketing expense, as well as providing additional skills desired by the industry. And second, we're adding additional locations in key regions that reduce the cost of relocation and increase convenience for the student while adding additional graduates that fill the need of our employers in that region. Accordingly, in June, we broke ground on the building expansion in Orlando that will allow us to begin offering our diesel program at this campus in early 2015. Additionally, I'm excited to announce that we are in the planning phase to open a new campus in calendar year 2015. This campus will be on a scale that is similar to our Dallas campus that opened in 2010 and will also be operated on a similar business model. Our efforts to address affordability to our students also continues. Our loan program helps students who are well qualified to attend UTI but have a gap in their financing after completing their financial aid packaging process. Year-to-date, we have extended approximately $18 million in loans under the program. That's up approximately 15% from the same period last year, and the average loan issuer is about $5,000. Our cash collections on this program continue to improve. During the third quarter, we recorded $1 million in revenues and interest from these payments, and that was up from $600,000 in the same quarter last year. In addition to offering this program, we continue to offer both merit-based and need-based scholarships as well as scholarships to our military veterans. At the end of the quarter, approximately 37% of students in school were benefiting from a UTI scholarship or discount compared to 33% last year. And those scholarships reduced gross tuition in the quarter by 3.5% compared to 3.2% last year. During the first 9 months of the year, we began testing a new scholarship to support students who must relocate to their tech school. While it's still too early to discuss the results or impacts, students are starting to take advantage of this program. We'll continue to evaluate and test new ways to make relocation affordable to our students. And finally, as we discussed last quarter, we have partnered with the mikeroweWORKS Foundation to make available approximately $1 million in tuition scholarships for future enrolled students who are passionate about a career in the transportation industry. We're very pleased that we announced 33 full-tuition scholarships to the deserving winners in late July. We have 272 eligible applicants and over 28,000 votes for caps. So not only did this program provide opportunities for our students, but it increased Internet and social media traffic to our website. During the third quarter, we graduated about 1,900 students. That's a decline of about 9% from the same quarter of last year. Of these graduates, 100% of our students in the motorcycle programs and about 45% of students in the automotive and diesel programs graduated with manufacturer-specific training. Typically, students with this type of training find employment quicker and have the potential to earn a higher starting wage. Additionally, our employers and industry partners benefit by hiring UTI graduates with higher levels of training and who are better equipped to go right to work. In the past 12 months, about 9,300 students have graduated from UTI with either degrees or certificates. And our overall graduate employment rate continues to outpace last year. We continue to see improvement in all areas of study, and we continue to see overall increases in starting wages offered to our graduates. In closing, let me take a little bit of time to talk about the outlook for the fourth quarter. Given the declines of new-student applications in the third quarter, mostly in our adult channel and the continued academic and regulatory headwinds, we anticipate the decline in new-student starts in the mid single digits for the fourth quarters compared to the prior year. However, with continued expense management, we should be able to produce a meaningful improvement in fourth quarter operating income compared to last year while continuing to invest in strategies to improve overall enrollments and grow revenue in the future. And finally, as Kim has said, there is no doubt that economic, regulatory and political pressures are impacting our business. With that said, we all believe we have the right model to be able to ride out the storm and to be in a strong position once it subsides. I say that because our business model provides a good value proposition for both our students and our industry partners. So we will continue our strategic focus on strengthening and building relationships with the industry for the benefit of our students and our employers. We will grow the business in collaboration with our industry partners, with strong endorsements in our marketing and admission efforts, a variety of enhanced affordability solutions, new campus locations and program expansions that make it easier and less costly for students to go to school. We want to continue to ensure students receive a quality education and the support services that will lead to their success. And we will continue to manage our cost structure in alignment with revenue and student populations. We will also strive to maintain compliance with regulations while adopting innovative solutions for success in the new environment. And finally, we will consider strategic acquisitions opportunistically. We believe execution of that strategy will benefit our students, our industry partners who employ them and ultimately, our shareholders. And now operator, I think we're ready to open the lines for questions.
Operator: [Operator Instructions] And the first question comes from Jason with Stifel.
Jason P. Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: Just, I guess, to start off with the starts in 3Q and then the guidance in 4Q. I mean, Kim, you did highlight the internal actions you took with the registration fees and all that. And I guess, am I correct in thinking, or could you elaborate on the 4Q? And you did touch on a little bit, maybe not being as big of an issue because you have a lot of those already registered, and then I guess, beyond that, can you also talk to -- or have any issues with the -- competing against the job market, has that accelerated? Is that continuing to accelerate?
Kimberly J. McWaters: Sure. The comment on Q4 and why I would not extrapolate applications or what you saw this quarter in terms of total starts and a percentage decrease from the prior year is that better than 65% of the students scheduled to start in Q4 are coming from the high school and military segments that have been on the books for some time, and it's traditionally populated in that -- with that mix. What we have not been able to fill or backfill is the adult segment, and that is due to the past couple of quarters. So if you look at quarters 3 and 2, that is more heavily weighted toward the adult students where Q4 is more heavily weighted toward high school. And that's why we are more confident that you will see somewhere mid-single-digit decline versus the double-digit decline you saw in Q3. Q3 is largely dependent upon the adult channel and is reflective of the challenges that we have been speaking to for the past couple of quarters. As far as jobs, we have seen that accelerate. I commented on our last call that we were starting to hear that from the front lines and certainly believe that it has intensified over the past quarters. We're starting to see the employment rate continue to improve for the male segment. The male segment, especially the younger students that we deal with, tend to lag the recovery that, that the rest of the economy is seeing, so we're still feeling the pressure and it's kind of intensifying due to that headwind.
Jason P. Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: Great. And then I appreciate your comments on the employers. And I guess, one that I didn't -- you touched on a bit -- but I mean, you kind of maybe alluded to maybe getting to a tipping point with manufacturers and employers. I mean, I know they do a lot now but is there -- could you go further in your commentary about -- I mean, is there any more extreme measures you could see them getting to, whether it be subsidizing half the cost of a program for potential future employees or anything like that? How do you see that going and progressing?
Eugene S. Putnam: Jason, I think you are correct. They are doing more. It differs by, obviously, the specific manufacturer, but all of them are intending to do more. And I think that will continue. We've had recent meetings with some of them. They all have the same story. They're short on entry-level technicians. They're are short even on manufacturer-specific technicians. And they are asking us that within reasonableness, what can they do to help be an even better partner in solving this? So when you talk about things like tuition-reimbursement programs, scholarships that you mentioned, living assistance, support for military veterans, they're all very eager to do things that obviously have to make sense to them financially within their budget. But they are being much more collaborative than they have in past years in terms of partnering with us to find those solutions. So I'm very optimistic about the potential for strengthening and overcoming affordability issues for students to get into manufacturer programs.
Operator: And our next question comes from Peter with Piper Jaffray.
Peter P. Appert - Piper Jaffray Companies, Research Division: So Eugene, if I got this right, for the operating income to be up meaningfully in the fourth quarter, I think that implies costs have to be down somewhat meaningfully on a year-to-year basis. Can you talk about what the drivers are of that? And then maybe more importantly, extrapolating to fiscal '15, what's the flow-through benefit from a cost standpoint?
Eugene S. Putnam: Well, the first part of your question. Clearly, our student levels are not at the same level as they were a year ago. So we have a variety of variable costs that will fluctuate with that student level. So yes, I expect expense levels to be down in Q4 versus Q3 and versus Q4 of last year. A little harder to picture at this point looking into 2015. The variable-cost component obviously will continue to fluctuate with our success in enrolling students. There are -- depending upon the trajectory of that, that leads you to make other decisions about more of the fixed costs, but I would expect to see some expense growth in 2015 as we roll out some of the programs that I've talked about, specifically the diesel program at Orlando and obviously the new campus that we did not talk in great detail about but will in coming quarters, and give you more specifics on that, that I would suggest we kind of pull out and treat separately in 2015 because there will not be much in the way of revenue and there will be some opening costs there. But we will continue to focus on cost, as I said. And unfortunately, in this environment, as we invest in the front end of the business, which we must continue to do, some of the more discretionary items get put on the back burner and don't get funded. And I think that's a continuation of what you'll see certainly in the fourth quarter and going into the first part of 2015.
Peter P. Appert - Piper Jaffray Companies, Research Division: What are the capital costs for the new campus, Eugene?
Eugene S. Putnam: Not quite ready to give you that, but we have said kind of -- it looks and smells like Dallas. Dallas absent the land which we purchased was about $10 million to get outfitted, as well as some operating costs to get it up and running before revenue was there. So we'll give you more on that next quarter, but at a high level, I think you could probably consider it plus or minus $10 million.
Peter P. Appert - Piper Jaffray Companies, Research Division: Got it. And I know this is a board decision, but you'll have some cash flow pressure, I guess then, next year in the context of depressed earnings and the capital spending. How do you think about that versus maintaining the dividend?
Eugene S. Putnam: Well, as you correctly stated, that's a board conversation, and I think it is something that you look at not just the current quarter or even the current year but the trajectory of what that cash flow is. I still expect to be generating cash flow sufficient to cover the dividend. And that's the information that the board will see, and they will evaluate that as they do every quarter.
Peter P. Appert - Piper Jaffray Companies, Research Division: Okay. And then one last thing, how -- or do you attribute any of the recent weakness in starts and enrollments to competitive dynamics with other players in the market? I'm asking this in the context of your decisions to raise tuition prices in an industry environment where a lot of the secondary companies are trimming prices?
Eugene S. Putnam: Well, a couple of things there. We are trying to trim prices where it makes sense. And hence, that's the one of the reasons that you see the increase in the use of scholarships. I would say, in terms of kind of the competitive nature of your question. It is -- competition has picked up, and it picked up especially when the ATB population was eliminated and schools that were more heavily reliant upon ATB had to cast a wider net, if you will, and started to market to students -- potential students that in the past they hadn't marketed directly to. So there's a competitive nature there that I really think drives more of the expense side of our equation. I don't really feel like we're losing share to any of our for-profit competitors or the mom-and-pops. Our share of the graduate market of the curriculums that we train in has remained steady. And in fact, in some cases, has grown a little bit.
Operator: And the next question comes from Tom [ph] with First Analysis.
Unknown Analyst: Could you talk a little bit about what drove the better growth in -- or what drove the growth in rev per student and then maybe what we should expect in Q4?
Eugene S. Putnam: The growth in revenue per student is, basically, as tuition increases that we have made in the past take hold, that's what's driven it. And I would assume that, that would continue to drive it. Additionally, we get -- we continue to improve the cash collections on our loan program. That said, the usage continues to improve so -- or continues to increase. So that is a bit of a wash. The scholarships are increasing. There are scholarships and discounts. As I mentioned, they're increasing. So that's a little bit of a drag. Those things are offset by a combination of the higher tuitions and the mix of what students are taking, the mix of programs. So as they take -- as they tend to take shorter programs, those programs tend to, from a P&L standpoint, be higher-revenue programs. And with a better job market out there, you do see pressure on students that may have been taking a longer program saying, "I can get a job now with this program," and they might shorten their program. And that, interestingly enough, helps revenue, for the quarter anyway.
Unknown Analyst: And if you could maybe just talk about your advertising expense expectations for Q4 and maybe what you're seen in advertising rates generally?
Kimberly J. McWaters: Yes. As I've said in the prepared remarks, I would expect the full year to come in around 10% of revenue, and that's pretty much the same for next quarter. Advertising rates, they've held steady. We've seen some increases on television. Certainly, we've seen increases in cost-per-clicks and search with the competition that Eugene mentioned. But I wouldn't say that advertising rates are the concern. It's more about how we engage and reach the students with the right message. So as we've talked about earlier, we're testing multiple tactics from a marketing standpoint. And if something works, we will invest in it. But we are really measuring the return on investment, and based on what we see for Q4, rates considered, expect that to be about 10% of revenue.
Unknown Analyst: Great. And if I can just get one last one. If -- and I'm sorry if I missed this, did you provide the year-over-year change in show rate?
Eugene S. Putnam: Yes. It was down 312 bps.
Operator: The next question comes from Jeff with Wells Fargo.
Jeffrey Scott Lee - Wells Fargo Securities, LLC, Research Division: You mentioned that you're reaching out to policymakers and gatekeepers. Could you elaborate a little on these efforts and what you're hoping to accomplish?
Kimberly J. McWaters: Sure. It was difficult to hear you, but I think the question was can you elaborate on those efforts to reach out to gatekeepers and policymakers. We continue to talk to the appropriate and who we believe are influential policymakers at state and federal level as well as at the high school-district level as we've seen pressures from high schools as well as military-base access constraints. And so it's made sense to partner with OEMs and local regulators, policymakers, decision-makers to talk about the advantages of a UTI education and why not all for-profits are created equal. And I think, as we mentioned earlier, with the manufacturers and employers partnering with us, we believe that we're breaking through at certain levels. There's a lot more work to be done there but the demand is so great that it is worth partnering together and talking to the key decision-makers. For competitive reasons, I'm not going to go into a lot of great detail there, but I do think that we are making inroads there with much bigger strategies to be announced in the fourth quarter as it relates to our high school programs and military efforts.
Jeffrey Scott Lee - Wells Fargo Securities, LLC, Research Division: Okay. And one more for me. Are you looking at the possibility of acquiring either Wyo Tech in full or individual campuses in Princeton [ph]?
Eugene S. Putnam: Well, I think the obvious response to that is that we don't comment on merger and acquisition activities. I did say that we will opportunistically look at acquisitions, and I would say yes, that would certainly fit into the category of opportunistically. So I think it's fair to say that we would take a look, whether that means it's attractive to us or not, obviously, it depends on a variety of things, not all of which are in our control, but many of which are in the seller's control as well.
Operator: And the next question comes from Jeff with BMO.
Sou Chien - BMO Capital Markets Canada: It's Henry Chien, calling in for Jeff. I just wanted to ask a little bit about the campus expansion. Could you talk a little bit about the thought process behind the expansion? And if you have any projections or expectations on how many additional students that will add for '15 -- 2015?
Eugene S. Putnam: Sure. For '15, it won't add much at all. We'll give you more specifics on that next quarter, hopefully. But this is something that would open late summer of next year. So it won't have much impact of the new students next year. But the first part of your question, the thought process is analogous to what we did with Dallas. There are areas of the country that, from a demographic standpoint, a growth standpoint, an employment standpoint, an outreach standpoint, are underserved from what our industry partners need and from what that population and those demographics can provide in terms of potential students. And as we look at those markets, there is certainly a strategy to take the education closer to the student. That means doing it more efficiently and in smaller facilities than our traditional destination campuses have been. And that is the thought process. Not that we have a deed for capacity on a consolidated basis across the country, but there are parts of the country where we could put a smaller campus and significantly grow the population, as well as meeting our partners' demands for graduates. And that's what this location is getting to do.
Sou Chien - BMO Capital Markets Canada: Got it. And then last quarter, you mentioned that you were looking into alternative programs to fill capacity. Is that still on the table? And has there -- any progress or steps made in -- on that front?
Eugene S. Putnam: It is definitely still on the table. The progress is limited. It is more of a purchase likelihood than a de novo. And as you all know, purchases require a buyer and a seller that are somewhat reasonable in their ability to get the valuation. And we continue to look. There's some opportunities out there, but I would not say that we're real close to anything, although we are making some progress in terms of identifying those that have some interest to us.
Sou Chien - BMO Capital Markets Canada: Got it. And just a last quick one for me. Sorry if I missed this, but could you provide the year-over-year growth rates for applications for adults, high school and military?
Kimberly J. McWaters: Yes. Military was down 5%, high school was down 17% and campus or our adult channel was down roughly 38%, 39%.
Eugene S. Putnam: For the quarter.
Kimberly J. McWaters: For the quarter.
Operator: [Operator Instructions] All right. As there are no more questions at the present time, this does conclude our question-and-answer session. I'd like to now hand the call back over to Ms. Kim McWaters for any closing remarks.
Kimberly J. McWaters: Thank you. I do have 2 closing remarks that were asked in questions that we didn't comment on that I'll just add -- I'd like to add a couple more details. And one was on the MSAT or the manufacturer involvement in marketing and developing affordability solutions. Just as a comparison to, let's say, the beginning of our manufacturer relationships in the early 2000 timeframe, the majority of those programs that were manufacturer-sponsored were dealer-paid or manufacturer-paid. And as we started to see the recession and the bottom fallout of the transportation industry, those programs migrated more from OEM-paid and sponsored to student-paid. And so as Eugene mentioned earlier, we are seeing more of that trending back towards the OEM-sponsored or dealer-paid and believe that, that is a trend that will continue to grow as our employers compete for the best graduates. The second thing is and as this relates to how this comes forward in our marketing efforts is in relation to tuition reimbursement and the scholarships that have been made on behalf of the manufacturer and its dealers, as well as other employers of varying size. Today, we have better than 375 employers who participate in our tuition reimbursement program. They have agreed to make student loan payments. They typically will make payments up to $10,000 on their tuition. This is not promoted as much as it could be for obvious reasons, and with the engagement of manufacturers and employers speaking out on this, in helping to educate prospective students, educators and their parents about the opportunity in a different way to address affordability issues, we believe that, that is going to gain some traction. So that continues to grow, although it doesn't show up in the form of price decreases. In effect, employers are helping the students pay for their education as the student comes to work for them and stays working for them. So for the employers, it's a great recruitment and retention tool. As far as costs go, with -- I just wanted to be certain that when we talked about the increases in tuition, the increase I was speaking about was really registration-fee driven. While we've had tuition increases, we do not believe that, that had an impact on application rates. So I just wanted to clear that -- clarify that for the group. I appreciate everybody joining us today, and your questions, your support and patience as we work through this challenging environment. We look forward to updating you with our fourth quarter and full year results on our next earnings call, which is scheduled for Tuesday, December 2. Hope you have a great evening. Thank you for joining.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. Have a nice day.